Operator: Good morning, and welcome to the Dawson Geophysical Second Quarter 2021 Conference Call. Today's conference is being recorded. As a reminder, statements made by management during this call with respect to forecasts, estimates or other expectations regarding future events or which provide any information other than historical facts may constitute as forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control that may cause the company's actual future results or performance to materially differ from any future results of performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from the time to time in its filings with the SEC, including the company's annual report on Form 10-K filed with the SEC on March 16, 2021, and any subsequent quarterly reports on Form 10-Q filed with the SEC. Furthermore, as we start this call, please refer to the statements regarding forward-looking statements incorporated in the company's press release issued this morning, and please note that the contents of the company's conference call this morning is covered by those statements. During this conference call, management will make references to EBITDA, which is a non-GAAP financial measure. A reconciliation of the non-GAAP measure to the applicable GAAP measure can be found in the company's current earnings release, a copy of which is located on the company's website at www.dawson3d.com. The call is scheduled for 30 minutes and the company will not provide any guidance. I would now like to turn the call over to Mr. Stephen Jumper, Chairman, President and CEO of Dawson Geophysical Company. Please go ahead, sir.
Stephen Jumper: Well, thank you, Cody. Good morning, and welcome to Dawson Geophysical Company's second quarter 2021 earnings and operations update conference call. As Cody said, my name is Steve Jumper, Chairman, President and CEO of the company. Joining me on the call is Jim Brata, Executive Vice President and Chief Financial Officer. Before we start the call, just a few things to cover. As Cody said, if you'd like to listen to a replay of today's call, it will be available via webcast by going to the Investor Relations section of the company's website at www.dawson3d.com. Information reported on this call speaks only of today, Thursday, August 12, 2021. And therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening. Turning to our preliminary second quarter ended June 30, 2021, financial results. For the second quarter ended June 30 2021, the company reported revenues of $193,000, a significant decrease compared to $29.5 million for the quarter ended June 30, 2020. For the second quarter of 2021, the company reported a net loss of $9 million or $0.38 loss per share of common stock compared to net income of $1.5 million or $0.06 per share of common stock for the quarter ended June 30, 2020. The company reported negative EBITDA of $5.7 million for the quarter ended June 30, 2021, compared to positive EBITDA of $5.8 million for the quarter ended June 30, 2020. Activity levels during the second quarter of 2021 reached a low point as the company did not have a seismic data acquisition crew operating in either the United States or in Canada as the Canadian season concluded at the end of the first quarter. The near-term outlook for seismic data acquisition activity in the U.S. remains challenging with the company currently operating one midsized channel count crew. Based on currently available information, the company anticipates operating one crew in the U.S. during the second half of 2021 with periods of low utilization and potentially one crew in Canada during the fourth quarter. I will now turn control of the call over to Jim Brata, who will review the financial results, then I will return for some final remarks and our outlook into the third and fourth quarter of '21. Jim?
James Brata: Thank you, Steve, and good morning. Revenues for the second quarter of 2021 were $193,000, a significant decrease compared to $29.5 million for the quarter ended June 30, 2020. As stated in our earnings release issued this morning, during the second quarter of 2021, the company did not have a seismic data acquisition crew operating in either the U.S. or in Canada as the Canadian season concluded at the end of the first quarter. The near-term outlook for seismic data acquisition activity in the U.S. remains challenging with the company currently operating one midsized channel crew. Based on currently available information, the company anticipates operating one crew in the U.S. during the second half of 2021 with periods of low utilization and potentially one crew in Canada during the fourth quarter. Cost of services in the second quarter of 2021 was $3.3 million, a decrease of 83% compared to $19.7 million in the same quarter of 2020. General and administrative expenses were $2.7 million in the second quarter of 2021. A decrease of 36% compared to $4.3 million in the second quarter of 2020. Depreciation and amortization expense in the second quarter of 2021 was $3.4 million, a decrease of 22% compared to $4.4 million in the same quarter of 2020. Net loss in the second quarter of 2021 was $9 million or $0.38 loss per common share compared to net income of $1.5 million or $0.06 per common share in the second quarter of 2020. EBITDA in the second quarter of 2021 was negative $5.7 million compared to positive EBITDA of $5.8 million in the same period of 2020. An EBITDA reconciliation was provided in our earnings release issued this morning. Now I'll review some results for the 6 months ended June 30, 2021. Revenues for the 6 months ended June 30, 2021, were $11.9 million, a decrease of approximately 83% compared to $68.5 million for the 6 months ended June 30, 2020. Cost services for the 6 months ended June 30, 2020, was $14.3 million, a decrease of 71% compared to $48.7 million in the same period of 2020. General and administrative expenses were $5.6 million for the 6 months ended June 30, 2021, a decrease of 30% compared to $7.9 million in the same period a year ago. Net loss for the 6 months ended June 30, 2021, was $14.2 million or $0.61 loss per common share compared to net income of $2.5 million or $0.11 per common share for the 6 months ended June 30, 2020. EBITDA for the 6 months ended June 30, 2021, was negative $7.5 million compared to positive EBITDA of $11.6 million in the same period of 2020. And again, an EBITDA reconciliation was provided in our earnings release issued this morning. Now I'll turn to some balance sheet items. Our balance sheet continues to remain strong. And as of June 30, 2021, we had debt, including obligations under financing leases of $427,000, cash and short-term investments of $45.9 million, our current ratio was 10.6:1 and working capital was approximately $44.4 million. And with that, I'll turn the call back to Steve for some comments on our operations.
Stephen Jumper: Well, thank you, Jim. Needless to say, the second quarter of 2021 was extremely challenging. As indicated in our first quarter earnings release, the second quarter and into the third quarter will reflect a low point for Dawson in terms of activity levels. We deployed a midsized channel count crew in the U.S. in mid-July and anticipate that crew operating through the second quarter -- through the second half of 2021 with possible periods of prolonged standby as we continue our efforts to fill the seismic data acquisition project schedule. Exploration and production companies are continuing on their path of capital discipline, focusing on shareholder returns and keeping spending levels below cash flow. Despite recent oil price improvement into the mid-70s range and natural gas prices in the upper $3 range, capital spending levels increased only slightly as many E&P companies have portions of the production hedged well below spot prices. According to IHS market, U.S. oil hedging losses during the first half of 2021 totaled approximately $7.5 billion, adding further pressure on spending plans for companies that entered into such contracts during the downturn. That said, despite the recent pullback in oil prices in response to OPEC announcement concerning increased production quotas as well as uncertainty around the effects of the COVID-19 delta variant on the overall economy, there continued to be modest improvement in oil service activity. The U.S. rig count, which typically precedes seismic data acquisition deployment is currently at 491, showing gains in 5 out of the last 6 weeks, an increase from 247% a year ago, but well below levels seen at this time of 2019 of 918. The same is true for hydraulic fracturing fleets with a current count of 235 crews operating, above the 70 of a year ago, but well below the 366 crews this time 2 years ago. As we discussed in our first quarter 2021 earnings release, demand for seismic data acquisition services continues to lag behind the recent modest increase in oil service activity. While seismic data acquisition activity remains at low levels, we are beginning to experience a slight uptick in bid activity in the U.S. and are encouraged by recent inquiries in Canada for the upcoming season. Included in the bid activity are request for carbon capture projects. Carbon capture projects, while typically smaller in scope, have certain levels of repeatability and could offer new opportunities for the company. In our continuing response to these difficult times, the company significantly limited capital budget spending, reduced fixed and variable operating expenses and implemented a comprehensive equipment maintenance program in preparation for a response to anticipated increased activity levels. In addition, the company maintains its commitments to its robust health, safety and environmental program, ongoing client relationships and product quality. The company made no capital expenditures during the first and second quarters of 2021. As stated in our December 31, 2020 earnings release, the company's Board of Directors has approved an initial capital budget of $1 million for 2021. As Jim stated earlier, the company's balance sheet remains strong with $45.9 million of cash, restricted cash and short-term investments and $44.4 million of working capital as of June 30, 2021. The company is nearly debt-free with notes payable and finance leases of $427,000 as of June 30, 2021. While today's conditions in the seismic data acquisition market remain challenged and are likely to remain so in the coming months, we are encouraged by the overall improvement in both the economy and the oilfield service sector. The recent increase in drilling and completion activities, combined with hedging contracts that will ultimately unwind, set the stage for a success of recovery in the seismic data acquisition sector. I thank our hard working employees, valued customers and trusted shareholders as we work through these difficult conditions and toward better times ahead. And with that, Cody, I believe we are ready for questions.
Operator: [Operator Instructions]. We'll take our first question from Bruce Berger with Turnaround Capital.
Bruce Berger: Steve, just wondering what your strategy is, obviously, you can't keep burning $5.5 million in cash a quarter. So as you see work over the next few quarters, what are your anticipation for cash losses?
Stephen Jumper: Bruce, we're not going to drift into any type of guidance and forecast, but I will say that I believe at this point that Q2, as we said, was the low point, based on what we're seeing right now. We did not operate a crew during the entire quarter from -- of 2021. We do have a crew in the field. It is going to have some periods of low utilization, but we anticipate keeping that crew busy through the end of the year in the U.S. and into the first quarter. We think that, as I said, we're going to have periods where it is going to be down, and we're anticipating operating -- hopefully having an earlier season start to the season in Canada this year. So it is going to continue to be difficult through the back half of '21. We certainly are watching the balance sheet and the cash position closely. And we'll continue to make every effort and implement things to reduce the cash burn as much as possible.
Bruce Berger: What type of work are you doing in Canada? How are the units being utilized in terms of the type of work? Is it carbon or is it just pure exploration work?
Stephen Jumper: Most of the work that we've done in Canada and has been -- well, in recent years, it's been primarily in the heavy oil basins. In the past, the -- our Canadian entity going back to the days of the Tidelands -- part of the Tidelands merger has done some work off and on in the off-season regards to potash mining. But most of the work that is in Canada these days is around the heavy oil sands. Most of it will be 3 component in nature. Of course, what we don't know is both in Canada and in the U.S. is what are the effects of natural gas prices being in the upper 3s and low 4s. Will that open up some opportunity in both Canada and in the U.S. for more activity in natural gas basins, we'll see. But recent history has been heavy oil sands.
Operator: We'll take our next question from John Potratz with Research Investments.
John Potratz: What about the carbon capture CO2, you don't have any contracts yet, but are you getting many interests in your geological area? Or is that outside your general area you're going to be working there? And do you sort of sense that this is really going to work into the carbon capture that there will be reasonable amount of business there?
Stephen Jumper: Well, good question, Jay. We've executed some carbon capture projects in the past. I believe we've done some in places like Wyoming and down into Louisiana in various places. We are seeing more inquiries into U.S. land-based carbon capture projects. They tend to be relatively smaller in nature. There'll be 20-25 square miles as opposed to a couple of hundreds. They are typically fairly dense as are most of our 3D surveys, and they typically will involve repeatability. And so what the intent is, is to, one, first of all, to identify a -- it's kind of opposite of what we normally do. We normally try to identify geologic structures that are conducive to the accumulation of hydrocarbons and then wells drilled and extracted. This is more looking for reservoirs or formations that could be conducive to storage, which means that they have to have some level of feelability and escape proof.  And so Phase 1 is to evaluate the geologic subsurface and see if the reservoir -- potential reservoir is conducive to injection. And then many times, there will be some follow-up over time a second survey, repeated at some point in time to identify if there, in fact, has been any movement of the fluid front. But we're seeing some activity level there. I think certainly, the potential for carbon capture is greater in the offshore basin. Some of the places that people want to do carbon capture will have existing data. And so that helps generate some activity through the multi-client databases, both onshore and offshore. But we've done this in the past, and our technology moves very easily over that. But we'll just see how the economics of carbon capture develop and what this turns to in the next few years.
John Potratz: So if you do get some of that business, it is a profitable endeavor. It's just that not -- you don't get as big of projects as you might have with the oil -- E&P exploration, correct?
Stephen Jumper: Correct. It's going to -- typically, there'll be a smaller crew. At this point in time, it is activity level, which is encouraging. As times improve and our utilization increases, we have the channel count capacity and the energy source capacity to address carbon capture projects as they come up maybe by pulling off some equipment and some people from existing crews that would certainly be more additive from a financial standpoint than just doing it stand-alone. So I think it's a business that we'll continue to pursue and continue to be involved in. And certainly something that I think will be a benefit to all involved.
John Potratz: Very good. Sounds exciting. There's another thing which is -- they mentioned in the U.S. for batteries we need lithium, and there's very little lithium in the United States. Is there any exploration going on for looking for lithium and looking at the geological formations that would go there that might be potential service?
Stephen Jumper: We have had some inquiries into using our technology for identifying lithium. It's a little bit different type of use of geophysical tools. It's not -- it's a little more difficult and that it's somewhat loosely similar to looking for coal scenes and that you're not looking for a geologic formation that is conducive to accumulation, you're actually trying to identify some mineral type. And so we've had some inquiries around that, but I don't think we've had anything really come to fruition from the lithium aspect. Now we've done a little bit in the past, and I'm sure we will in the future around things like helium, things around geothermal, those types of things, but I wouldn't think that lithium would be something at this point that would be a big factor for us, Jay.
John Potratz: Okay. Well, I just wanted to see if -- as life changes, some parts of the business don't do well, but other parts of the business sort of take off and it's just your ability to take and do that. Okay. The other thing during this quarter, you mentioned, look at the cost. My sense is you were spending a lot of money that in the quarter was only in the quarter, the maintenance of your equipment to be able to go out and be ready to move. So maybe during the quarter, there was a little bit higher expenses on the maintenance than you might otherwise would have incurred going forward. Would that be a fair way of looking at that to make sure that your system is in great shape.
Stephen Jumper: I would characterize what we've done in the quarter with regards to maintenance expense has been to keep a certain level of equipment maintained, ready for deployment. So as we further deploy in the future, energy sources and channel count and crew count and those types of things. Certainly, the maintenance level is going to -- or the maintenance costs will go up accordingly. And so I think we have -- I wouldn't have characterized our maintenance expenditures in the quarter as being materially large. I think we are continuing, as we always have, to maintain our equipment that's ready to go and has limited downtime when it's deployed. So as we continue to increase deployment over time, I would anticipate some level of maintenance expense to increase.
John Potratz: Okay. So it's just being ready to move when you get a chance for a contract. Okay. What is the competition like? Are you finding competitors are also suffering and they're cutting prices so that it's harder to get a contract that's profitable? Or are you seeing any -- what are you seeing out in the marketplace?
Stephen Jumper: Yes. The competitive landscape really hasn't changed much in the last year. The -- I think the geophysical market has been difficult for everybody in the Lower 48, and as well as worldwide. I don't think it's a stretch to say that the geophysical markets had its issues worldwide. I think we're beginning to see some increase in activity, leading indicators in the international markets. I think we're starting to see some leading indicators in maybe some of the marine operations, marine seismic surveys around the world, but we're not quite seeing that improvement yet to the level we are or at least anticipated increases around the world. So I don't think the competitive landscape has changed all that much. I think the market is difficult for everybody.  And really, the issue here is just a -- as we've addressed in Q1 and Q2, both, it's -- one, it's restricted spending levels on behalf of our client base. They're continuing to focus on shareholder returns, and they're continuing to stay -- keep their spending levels within cash flow. Many of them have hedging contracts, they entered into a year ago that we'll be rolling off. It certainly have affected cash flow. And so we are seeing some increase in -- slight increase in bid activity, particularly among some of the private players and a few more conventional things that have been kind of showing up. So I don't think they're -- I think it's tough on everybody right now.
John Potratz: But you've positioned yourself to survive and do well. And you are seeing the prospective clients -- you are seeing prospective work out there today that maybe you didn't see 3 or 4 months ago. Is that a fair representation?
Stephen Jumper: I think that's fair. I just want to continue to emphasize, Jay, that we are seeing an uptick the rig count and the hydraulic fracturing fleet count numbers are both up from a year ago, but they're significantly down from where they were at this time in 2019. And so while the rig count certainly isn't where it needs to be to -- well, I'll just say it this way, it's taking a while to work through the inventory of drillable prospects. And so having said that, we certainly have seen a few projects that have come up for bid. We've seen some things that have continued to slide a little bit on the schedule and happened to us in Q2. And it could happen again to us in Q3. But yes, I think we're seeing a few more inquiries and a little bit of activity level increase, but that's not to say that it's going to continue to be a challenging market in the next quarter or two.
John Potratz: Good. I'm glad you're having to do this not myself. Thank you very much for being out there moving ahead. Actually, something like this is quite often very good because what it does is then get you to think about things a lot differently. And I would look forward to hearing from you in the next quarter, some innovative things that you've undertaken because it's sphered you and brought us to think about life very differently.
Operator: Take our next question from Jarrod Cohen with JM Cohen & Company.
Jarrod Cohen: My question was answered.
Operator: That does conclude today's question-and-answer session. I'd like to turn the conference back over to Mr. Jumper for any additional or closing remarks.
Stephen Jumper: Well, first of all, I want to thank everybody for listening in to our second quarter 2021 earnings and operations Update call. As always, we're very appreciative of the support of our shareholders. Certainly want to thank our hard-working employees and our valued clients. Just to sum it up, Q2 was a low point in terms of activity. We're encouraged by some of the inquiries that we're beginning to see come out. And it is going to continue to be difficult times for the geophysical market in the near future, but we are well positioned with our balance sheet and our equipment base and the people we have on staff to respond to this market when it turns. And with that, thank you once again and look forward to talking to you at the end of Q3. Thank you.
Operator: Thank you. That does conclude today's conference. We do thank you all for your participation. You may now disconnect.